Operator: Ladies and gentlemen, thank you for standing by. Good afternoon. And welcome to the Beam Global First Quarter 2021 Financial Results and Corporate Update Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Participants of this call are advised that the audio of this conference call is being broadcast live over the Internet and is also being recorded for playback purposes. A webcast replay of the call will be available approximately one hour after the end of the call through August 22, 2021. I would now like to turn the call over to Kathy McDermott, CFO of Beam Global. Please go ahead.
Kathy McDermott: Thank you, and good afternoon, and thank you everyone for participating in Beam Global’s conference call for the first quarter of 2021. We appreciate your time today and for joining us for this call. Joining me is Desmond Wheatley, President, CEO and Chairman of Beam. Desmond will be providing an update on the recent activities at Beam followed by a question-and-answer session. But first, I’d like to communicate to you that during this call, management will be making forward-looking statements, including statements that address Beam’s expectations for future performance or operational results. Forward-looking statements involve risks and other factors that may cause actual results to differ materially from those statements. For more information about these risks, please refer to the Risk Factors described in Beam’s most recently filed Form 10-K and other periodic reports filed with the SEC. The content of this call contains time-sensitive information that is accurate only as of today, May 24, 2021. Except as required by law, Beam disclaims any obligation to publicly update or revise any information to reflect events or current circumstances that occur after this call. Next, I’d like to provide an overview of our financial results for Beam’s first quarter ended March 31, 2021. For the first quarter of 2021, we reported revenues of $1,372,392, a 4% increase over 1,317,052 reported for the first quarter of 2020. During the recent quarter we ship systems to municipalities, as well as into federal, academic, utility and enterprise business segments. We also provided an EV ARC system to Jeep, a Stellantis brand, and one to their partner Electrify America to support the launch of their project to provide renewable charging at off-road trailheads throughout the United States as part of Jeep’s 4xe charging network. As of March 31, 2021, our contracted backlog was approximately $1.2 million. Gross loss in the quarter ended March 31, 2021, was $149,120, compared to a gross loss of $39,641 for the same period in 2020. The increase in gross loss was primarily due to an increase in costs for the new EV ARC 2020 system that was launched at the end of 2019. We expect to reduce these costs over time and also improve our gross margins as we increase our production volume to improve our fixed overhead absorption and improve labor efficiencies. Operating expenses were $1,102,675 for Q1 2021, compared to $902,000 for Q1 2020. The increase in operating expenses would do -- was due to an increase in non-cash compensation expense, for stock option expense, investing of director shares, increase sales headcount to support revenue growth and increase R&D headcount to help reduce product costs and for product development. The net loss was $1,250,809 for the first quarter of 2021, compared to $942,521 for the first quarter of 2020, due to the increase in gross loss and increase operating expenses. At March 31, 2021, we had cash of $28,214,029, compared to $26,702,804 at December 31, 2020. The increase was primarily due to the exercise of warrants partially offset by operating cash usage. Our working capital also increased to 29,507,478 at March 31, 2021. I will now turn the call over to Desmond to provide the business update. Desmond?
Desmond Wheatley: Thank you, Kathy, and thanks to everybody else for joining us today and for your continued support of -- and interest in Beam Global. Before I get into comments about the quarter and the business in general, I want to thank you all for your patience and give you a brief explanation for our delaying this call on the release of our Q1 results. Let me start by making absolutely clear that there is and was nothing wrong with our financials. I want to congratulate and thank Kathy for her tireless efforts in always producing accurate reporting, which has only ever been described by our auditors as the highest quality. For the last decade or so, we do Solberg and close our audit -- auditors. Solberg did a great job for us, and as you’re aware, we have always filed on time and without controversy. This year, as a result of the significant growth which we hope to achieve and our position on a national exchange, we elected to engage RSM as auditor. This is the first quarter that they’ve been engaged. We’re a simple and easy to understand company with simple and easy to understand financials. Nevertheless, any public company is subject to complex and sometimes hard to interpret the SEC regulations. It took longer than any of us expected for RSM to ensure to their satisfaction and ours that all of our activities were in compliance with even the most arcane SEC requirements. We have together reach comfort that that is in fact the case and have as a result file today. It’s important for me to note that we did not make any material changes to our filings during this period of delay. It’s also important to note that we’re not late in filing our first quarter results. So again, thanks for your patience while we went through this. Now, my comments will be a little bit briefer than usual today, because of course, we just did our full year conference call about a month ago and there’s not been a great deal of change since that time. In fact, the really significant change is related to what is arguably the most important factor in our business contracted backlog and that’s a lot healthier than it was just a month ago. We currently have over $5 million of contracted backlog, all of which we expect to convert to revenue in 2021 and most of it should deliver before the end of Q3. Combining backlog with our Q1 revenue of $1.3 million puts us in the position of knowing that we will exceed 2022 -- 2020 revenues in 2021, while still having more than half of the year left to sell. This, at a time when we have a growing pipeline and many indicators that our opportunities are both increasing and accelerating velocity. Those of you who are on the last call know that remember me saying that we were just days away from winning the biggest order in our history. Of course, at that time, I didn’t say exactly how many deals, but I think most of you know me well enough now to realize that I didn’t expect it to be quite this many. But anyway it did happen, a little later than I expected, but it happened. We received an order for 52 units from California Department of General Services with whom we’ve had a contract in place for several years. This will add to all the other units that we’ve delivered to DGS and many other California Government departments. It’s an order that’s broken down into 27 separate purchase orders, each of which is directed at a different government office. Thanks, perhaps, at least some of the delay. Absent situations beyond our control, we anticipate delivering these 52 units before the close of the third quarter. There are several useful indications to take from this order. First and foremost, it taken away descriptive of our broader business. It’s not and was never a question of if it would happen. It was just a question of when. Everyone involved from our side and from the customer side, you could see that the order was coming, but none of us could put an exact date on when we would receive it. As I look at the markets we approach, the convergence of clean energy and transportation. I don’t think anyone any more questions if it will happen. The only questions I see no and even the more skeptical quest is when will it happen? The shift to this future is if anything accelerating and we’re well positioned to take advantage of it. This order is a pretty good indicator that that future is rapidly upon us. Many of you will have seen President Joe Biden test driving Ford’s magnificent new F-150 Lightning last week. The Ford F-150 has been described as the most popular consumer product in history. The top selling vehicle in United States and has been the top selling pickup truck for 42 years in a row. But this new Ford F-50 -- F-150 is similar only to the old gas and diesel models and that it can carry until just as much as they could. As President Biden discovered when he drove it, as soon as he press the accelerator pedal, you find out how very different it is from the previous models. To call the President, this sucker is really quick. In fact, the F-150 Lightning accelerates from nought to 60 miles in about 4 seconds. Compare this to the gasoline and diesel models which take twice the time to reach 60 miles per hour. I think that the President’s use of language and indeed the vehicle that he was driving describe a significant shift in the future consumer relationship with electric vehicles. Until now, they’ve been largely viewed by the broader public as the domain of elitist in Tesla’s and tree-huggers in cars like the Nissan Leaf. What Americans really want pickup trucks and SUVs, and this year and next it will be served up with a whole portfolio of what are simply the best vehicles they’ve ever had the opportunity to drive. The F-150 will be joined this year by other new entrants, like the Rivian and Lordstown Endurance and GM has, of course, been famously announced the impending arrival of the 1000 horsepower all electric Hummer SUV, which has an insane 11,500 foot pounds of torque and will be nought to 60 in three seconds. And they’ll be plenty of other models to choose from too, just about every major auto manufacturer, foreign and domestic has a portfolio of electric vehicles, which either in production or soon will be. The two things all these vehicles have in common is that they’re either far superior to the diesel and gasoline vehicles currently produced. And most importantly for us, they will all need a place to charge. It won’t be at home because most people don’t live in homes that can support EV charging and it won’t all be tied to the grid, because the grid doesn’t have capacity to support at all. And anyway, it takes time and money and disruption to connect charges to the grid. Consumers are too impatient to wait for that sort of thing. What’s needed is a rapidly deployed product which could supply the charging that they need, where they were already going, without disruptive construction and electrical projects. Beam Global is as far as we know, the only company offering such a product, and of course, we have very good intellectual property protection. One very cool recent addition to the EV lineup is the Jeep 4xe, another product that moves EVs from the edge and places them firmly at the center of consumer interest. Just imagine how fantastic it will be to go four wheel driving in the wilderness in an electric vehicle. The torque acceleration and ability to control each of the driving wheels will make these new off-road vehicles must haves. Of course it won’t be easy to deliver good circuits to wilderness areas and that’s probably why Jeep selected the world’s best rapidly deployed off-grid, the newly energized electric vehicle charging infrastructure product. Take a look online and pull up some of the fantastic images of our EV ARC product with a very attractive Jeep branding package. Certainly one of those interesting developments that I’ve seen in the automotive industry is Jeep selection of Electrify America to provide and manage their EV charging infrastructure. Electrify America is of course a Volkswagen company and I just don’t recall ever seeing another instance where one car company has engaged another car company to provide a managed fueling infrastructure for them. This is a powerful indication of the revolutionary new business models, which are going to develop along with the revolutionary technology of electrified vehicles. Beam is very well positioned to take advantage of these new business models. We are of course delighted that Jeep selected our product and we’re also very happy to continue to advance our existing relationship with Electrify America for whom we’ve already deployed EV ARC products to support their electric vehicle charters throughout Central California. Electrify America seems to be doing a very good job of evolving beyond their initial incarnation and we really look forward to continuing to support their infrastructure requirements as they grow. So far, there’s been a great deal of talk about government tailwinds within the EV industry and it’s certainly true that a significant amount of activity around EVs and EV charging infrastructure has been driven by government activity. Governor Newsom in California has announced the banning of internal combustion engine vehicle sales from 2035. There’s nothing controversial about this. And in fact, it’s quite an astute and safe political set to take because and I’m sure Governor Newsome knows this. By 2035, California consumers will not be able to buy anything but electric vehicles. Anyway, because internal combustion engine vehicles by that time will have been banned across most of Europe and it’s simply not impossible for car manufacturers to make one set of vehicles to the United States and a completely different set of vehicles for Europe and the rest of the world. Governor Newsom’s announcement is bold and seems fraught with risk. But, in fact, I think that his mandate will not be required, because the industry and the consumer will deliver on its requirements before it comes into effect. California is not alone. The State of Washington has won up to us with a ban on the sale of internal combustion engine vehicles starting in 2030 and there are several other states with similar bans in the works. But again, I don’t believe that they will be necessary, because I think the consumer and the industry will make the change before the bans come into effect, at least not all, but outlier cases. At the federal level, we have President Biden’s commitment to electrify the federal fleet of 645,000 vehicles. The federal government is the single largest consumer of gasoline in the world by far and will become the single largest electric fleet operator in the world. President Biden has also announced his intention to deploy 0.5 million publicly available EV charging stations on America’s highways in the next few years. Perfect future ground for our products. In June of this year, we’ll be taking part in the Electric Mobility Symposium at Marine Corps Air Station Miramar. There’ll be a fantastic selection of electric vehicles both manned and unmanned at that event. The Marine Corps like all branches of the U.S. Military is working hard to decarbonize and wean itself off the terribly expensive both in terms of money and human lives reliance upon liquid fuels. Our EV ARC product will be prominent throughout the symposium charging all types of electric vehicles and we’ll also be demonstrating as transportability on ARC mobility trailer and its rapid deployment capability. Everything about the EV ARC, its autonomy, its transportability, its rapid deployment makes it an excellent choice for the future warfighter and fueling requirements for the fantastic array of electric tactical vehicles which are coming. Interestingly, the Marine Corps like many other fleet operators, probably, every other fleet operator starting to recognize that internal combustion engine vehicles are increasingly becoming a liability. They recognize that as manufacturers move to electric portfolios that will become harder and harder to source spare parts and service for internal combustion engine vehicles. So it’s not just about decarbonizing or about reducing reliance on liquid fuels. It’s also about their recognition that there’s an end coming to the era of the internal combustion engine vehicle and that they need to be in front of that process, not behind it, we intend to help them. All of these moves towards electrification, whether they be at the federal, state or the municipal government level, are driven by enterprise or consumers have one thing in common, they all require a significant and rapid increase in the availability of electric vehicle charging infrastructure. Beam Global produces the fastest deployed more scalable, most robust and lowest total cost of ownership EV charging infrastructure solution available in the world today. We support all the major brands of EV charging products and service providers behind them. Our products are immune to blackouts, provide energy security, and a clean and green and Made in America, sounds like a winning combination to me. The California order, the way it was placed and the reasons behind it is not in my opinion anomalous. I believe that this is an indication that for all the reasons mentioned above, we’re going to see a significant increase in the need for rapidly deployed and resilient off-grid EV charging infrastructure. Also signals a recognition on the part of government that a single percent of -- a significant percentage of our future fueling infrastructure must be independent, with locally generated and locally stored electricity, people to defend ourselves from a catastrophic failure in the fueling system caused by a grid failure. Of course, this is exactly what our products are designed to do and this is exactly the sort of evolution of thinking they formed that -- has formed the basis of much of our investment thesis over the years. I feel that some questions about California, New York and the apparent inactivity with those customers during 2020. Actually, we’ve never stopped receiving orders from the California contract and while New York had other things on their mind during 2020, we’ve recently received an order from them for our new EV ARC 2020 product. They look forward to seeing the flood proof unit. Having had years of service from our previous excellent but not flood proof models. California’s Governor Newsom has committed over a billion dollars to the electrification of transportation. California has also just become the first state in the U.S. that will require rideshare operators such as Uber and Lyft to transition from gasoline to electric vehicles in their networks by the end of the decade. I think it’s very obvious that there’ll be a requirement for significant increase in the availability of public EV charging infrastructure and at a pace which far exceeds anything that we’ve seen during the last decade. We have the fastest deployed most scalable, most robust EV charging infrastructure solution available today and this most recent order from the State of California demonstrates that they recognize the value of our products and the resilient clean off-grid, locally generated, locally stored electricity which they deliver. Interestingly, and tellingly I think, the funding for this latest acquisition came from California Office of Emergency Services. With around 20 million cars on California’s roads, there will be a requirement for several million publicly available EV chargers and a huge increase in capacity and the delivery of electricity. I believe that we’re ideally positioned to be a very significant role in delivering this increasing capacity in a rapidly deployed and highly scalable manner. Surely is not a coincidence that California has renewed our contract and increased its scope to include more of our products and also make it available to any other government entity which wants to use it. Two weeks ago, I spent several days in Washington, D.C., with our new lobbying consultant. This new consultant is very well known and very well thought off in Washington, D.C., forms part of our increased investment and government relations, which I’ve committed to over the last year. We now have one full time employee, the Washington based lobbying firm I just mentioned and also another consultant who helps us identify funds which our customers can use to buy our products. I believe that this investment in government relations cannot be better at times. Our full time employee Brad Groters has already secured meaningful changes in both state and federal rules, which now ensure that our solution is both recognized and eligible for important programs and funding. Our funding consultant has joined me on several webinars in which we demonstrate our products and then show various funding resources available to help our customers pay for them. We realize additional sale is a direct result of these efforts. It’s early days with our D.C. lobbyists, but my first trip to D.C. demonstrated to me that they are indeed well connected and very supportive of our efforts. Over the next few weeks, I will be meeting with high level staff on House Energy and Commerce, House Transportation and Infrastructure, Senate Environment and Public Works and Senate Finance. Although, we sold a lot of products to various government agencies over the years we have historically not aggressively focused on receiving funding from any arm of the government. Moving forward, we will make sure that our important contribution to the electrification of transportation and to energy security is not missed by any arm of government and that we’re supported and have access to an equal playing field, and that we’re recognized as the leaders that we are. While in Washington, D.C., I have several fruitful meetings with members of the federal government and find them to be very much in support of what we’re doing. And why wouldn’t it be? It didn’t hurt that I was there, just as the colonial pipeline fiasco with shutting gas off the Northeast, is easier than ever to speak about the value of fueling infrastructure that’s independent and resilient. It seems to be across the aisle agreement, the infrastructure spending, particularly transportation infrastructure spending is something that can be agreed upon in a bipartisan manner. Even the electrification of transportation no longer seems controversial or too political. And of course, energy security has always been a safe area for agreement. Finally, nobody in Washington thinks it’s a bad idea to use American products to reach these worthy goals. In many ways, our products seem to be tailor made to satisfy the aspirations of those who are engaged in deciding our stimulus and other infrastructure dollars will be spent. Certainly, it was a very good idea for us to spend eight months going through the rigorous vetting process necessary to finally be awarded a federal GSA contract, which enables any federal agency to buy our products without having to go through a painstaking and lengthy process. We’ve already seen the fruits of this contract vehicle. We’ve now received several purchase orders through it. And we believe that many more are coming. In fact, in the first quarter we received a purchase order from a federally funded entity who has bought from us several times before. The difference in the experience was not trivial. Often the past conditions had to be just right and a good deal of work had to go into receiving orders from this entity. This time it was a simple, quick, painless process, a very good harbinger for what is I believe to come. We were involved in a couple of excellent press events during the first quarter and since. San Diego’s new Mayor, Todd Gloria cut the ribbon and spoke at a press conference, which I was honored also to be invited to speak at, and which took place in front of two of our EV ARC products recently purchased by the City of San Diego. Each of those EV ARC systems was charging five Chevrolet volts, also recently purchased by the city as part of their ongoing plan to electrify their entire fleet. This was an excellent opportunity for us to demonstrate our products ability to charge multiple vehicles and deliver to them all of the daily range replenishment they require from a single parking space-based product. San Diego has ambitious plans and an ambitious Climate Action Plan and we’re delighted that this new administration is so enthusiastic about our products. We look forward to providing them with much more EV charging infrastructure and energy security. Later, I find myself in Kansas City to join the Mayor of the City of Olathe to do a ribbon cutting and press event there, introducing six EV ARCs systems, which we’ve recently deployed. I think it’s fair to say that San Diego and Olathe, Kansas are about as different as any two cities in one nation could be. And yet the EV ARC product fits equally well in both of their requirements. There about 19,000 municipalities in the United States, EVR is currently deployed in over 100 of them. Our pipeline, which is larger than it’s been at any time in our history leads me to believe that will make it rolls into the other 18,000 and some at an accelerating pace in the coming periods. And it’s not just municipalities who are benefiting from our products. We just announced that for the first time the entertainment industry in the form of one of the world’s best known and the best loved brands has for the first time started to use our products to provide electric vehicle charging and clean energy on the set of one of their new productions. We delivered for the first time the Forest Service and also placed EV ARC in our nation’s capital Washington, D.C. Again these deployments demonstrate the fantastic variety of different opportunities being global addresses. When considering our total addressable market, one could genuinely say that it’s equal to all other EV charging companies’ times put together and all charging scenarios whether they be Sedan’s medium-duty, heavy-duty or even for aircraft and other electric transportation solutions. All of these new opportunities and anticipated growth of focusing our attention on our ability to scale our production and to improve our gross profit, there’s no question that volume will be the single largest contributor to our improved gross profits, as we spread the overhead cost in our facilities, which has room for 20 times growth across a larger number of products. We are in the process of making improvements to our factoring facility, which we believe will make us much more efficient. Increased efficiency will mean an increased ability to keep our product as well at the same time reducing risk and increasing quality, and of course, and importantly, reducing cost. I’ve mentioned many times before that, other factors will contribute to cost reduction, such as the decline in the price of batteries and solar modules and other components which we integrate into our products. These inputs are outside of our control, unfortunately, but they do not require any investment from us. We are also concentrating heavily on things that we do control. The engineering team is working tirelessly to make changes to both our EV ARC product and our Solar Tree, which we believe will increase its quality and reduce the cost producing. During the first quarter, we were able to announce a 12% increase in energy delivered from our EV ARC product. 12% increase in energy means 12% increase in the miles delivered to our driving users. These increases in energy delivery came about as a result of the fantastic efforts of our engineering team. We’re currently deploying our Solar Tree product to power full-sized batteries in the State of California and the engineering team has been similarly engaged in making sure that we’re taking the steps required to improve our efficiencies and reduce our costs with that important product set. As a result of its focus we’re not currently committing time or resources to producing our patented EV Standard product. However, we believe more than ever that the EV Standard is vital solution to one of our EV charging industry’s greatest challenges, curbside charging, and as such will provide a significant revenue source for us in the future. Our current engineering roadmap and plans include focusing on the EV Standard in the second half of 2021. Another major initiative that deserves mention is of course our Driving on Sunshine program. The process of attracting sponsors to this opportunity is thoroughly underway. Updates on this are sort of the binary in nature, nothing to report until we have a sponsor signed up. I can tell you that we and our partners are thoroughly engaged in this and I remain as confident as I’ve ever been that we will get a sponsor. It’s a process not an event it takes longer than I wanted to, I’m a very impatient person and nothing happens as quick as I wanted to, a three minute egg takes too long in my book, but it’s something that has never been done before and we’re working with very large organizations. They have departments and processes and we have to work at their pace. Getting the city contract longer than I anticipated but we got it done. I’m sure the same will be the case with the sponsors. Finally I’d like to welcome Nancy Floyd to our Board of Directors. We tragically lost Bob Schweitzer, who passed away during the first quarter. It was a dreadful event on every level, but if any silver lining existed on that cloud, it was that we were able to attract Nancy to our Board. Look her up. She has a fantastic history of picking winners in the clean energy space. We are very lucky to have on our Board and I’m going to see she is very lucky to be on it. Welcome, Nancy. So to wrap up, we have an excellent backlog and pipeline position. We have sufficient revenues year-to-date and backlog to ensure that we will beat 2020 and we still have seven months left in the year. We have historically high levels of working capital and no debt. The EV industry is really kicking into gear. We are anticipating a post-vaccine acceleration of EV charging infrastructure across both government and enterprise. Our products are better than ever and we’re working hard to improve gross margins on all of our products. Again, volume sells all and it certainly looks as if volume is coming. We’re going to have a busy an excellent 2021 and all the years beyond. Thank you for your time and attention and I’ll now hand it back to Kathy and take any questions that you may have. Please keep them brief and restrict yourself to a single follow-up as we want to make sure that everyone gets a chance and in the event that I don’t get to you, you can always call directly. Kathy?
Operator: [Operator Instructions] And our first question comes from Amit Dayal with H.C. Wainwright. Please go ahead.
Amit Dayal: Hi, Desmond. Thank you for taking my questions.
Desmond Wheatley: Hi, Amit. How are you?
Amit Dayal: Just to begin with, the 52 ARCs that the California Government ordered. Is this part of the $5 million backlog or is this in different to the backlog number in guidance…
Desmond Wheatley: That is in backlog.
Amit Dayal: Okay. Understood.
Desmond Wheatley: Anything that we -- anything that’s contracted, we will describe as backlog.
Amit Dayal: Okay. Got it. Thank you for that clarification. And just one more follow-up from me. So your government orders continue to come through the outlook on that front remains pretty positive. Are there similar opportunities in your pipeline on the enterprise side, excluding sort of the media model where you could see orders for 50 units or 100 units at a time from enterprise type customers?
Desmond Wheatley: I think without a doubt I mean, certainly the Electrify America/Jeep thing that we’ve already discussed during this call, it’s a good example of enterprise spending and there are so many other similar opportunities like that in the pipeline. This quarter really was not at all about governments and I mean, I think, obviously, 2020 was a year during that which there is a lot of people who were not going to places of work and not doing very much of anything. And so COVID really had an impact on the enterprise deployment of EV charging infrastructure we certainly saw that. We had a year where we had record revenues in 2020 without essentially half of our opportunities bearing fruit for us because there wasn’t any workplace charging being deployed. However, we think that changes this year, post-vaccine second half, I think, you’ll see a big increase of return to work a lot of workplace EV charging will be required to support that. And then beyond that, with all these new fantastic models that I mentioned in my comments, they’re just going to be a giant requirement for EV charging infrastructure for consumers. In fact, I think it’s going to happen in a way that nobody is really probably anticipating and so I’m very bullish about enterprise. But we won’t turn our back on the government stuff.
Amit Dayal: Right. Of course not. Thank you. That’s all I have. Thank you.
Desmond Wheatley: Thank you, Amit.
Operator: The next question is from Tate Sullivan with Maxim Group. Please go ahead.
Tate Sullivan: Hi. Thank you, Desmond.
Desmond Wheatley: Hi, Tate.
Tate Sullivan: Hi. We’ll talk about the sponsorship opportunity you mentioned partners and the 10-Q noted in addition of a contracted industry expert. Can you just -- do you have multiple partners in addition to outdoor media or dedicated sales, can you just talk about that a little please?
Desmond Wheatley: Yeah. So we are not exclusive with anybody. I want to maintain that position, it’s basically it’s sort of like flag goal a 100 bucks. First one up wins it. But we definitely have engaged a group who does nothing at all but sell corporate sponsorships with a very particular focus on transportation. So they do -- they will have all the buses and trains and everything that you’ve seen with advertising on them. They also do stadiums, and just about any kind of those things you can imagine. So they have a -- what’s good about dealing with them is because they do nothing else this is firmly their area of expertise. They obviously have a very good Rolodex and a great history of making some unusual sponsorships work. I’m really happy to be working with them. I think the important thing to point out to everybody listening about them is although we cover their costs. They really don’t get paid any material amount of money unless they are successful. And so, I think, the takeaway from that is that here’s a group, who is an expert in this space does nothing with it and who is essentially willing to invest and moving this thing forward because they believe that it’s such an excellent opportunity. And while it’s new, a new makes it difficult, it’s new time when EV charging is just coming into its own and they believe and so do I that as soon as we are -- as soon as we start moving on this thing, it’s going to take off like wildfire.
Tate Sullivan: Thank you. Desmond. I’ll turn it back.
Desmond Wheatley: Thank you.
Operator: The next question is from Jacob Green with BTIG. Please go ahead.
Jacob Green: Thanks, Desmond. Good morning.
Desmond Wheatley: Hello, Jacob.
Jacob Green: So part of your sales this quarter, what you achieved in their Wrangler 4xe launch and Moab. And have you had any other conversations with any other OEMs, You talked about Ford in their Lightning about sponsorships and the point charges as a part of their rolling out of there, EV offerings.
Desmond Wheatley: Yeah. We have announced nothing and so there’s therefore nothing that I can say about that. But you can imagine, of course, that we believe that as more of these companies deliver more and more of the sort of product. Secondly, the kinds of products will be very, very popular with American consumers. We do also anticipate that those same consumers are going to be demanding infrastructure and we know that consumers are very impatient, they don’t like to wait for stuff and so we anticipate that that level of patients is going to be transmitted into the infrastructure space. As you know, it’s taking longer and getting more complicated everyday to deploy good site infrastructure between the permitting and construction and electrical work. So I think that we are an ideal solution for this sort of what I’m hoping at some point becomes panic buying as it were. When you’ve got lots of people buying F-150s and Hummers and all the other products that are coming out right now, they’re not going to go away around and they will not be forgiving of people tell them well, it takes a while to permit the stuff or to build or to do the electrical work. They’re going to say as a matter we want it right now and that’s what we are positioned to take advantage of. So I can’t go into any detail on that, but our target it’s not hard to figure out who our targets are.
Jacob Green: Sure. Great. And then just one more from me, just talking about your supply chain and having some other issues with other -- EV companies having some issues that their supply chains and batteries and modules, have you had any issues getting solar modules or batteries for your ARCs?
Desmond Wheatley: So far no. It’s something that we pay a lot of attention to obviously. We’re monitoring all the time. At the moment we have not had any those sorts of delays. I mean nothing material and we are at the moment not anticipating any of those sorts of delays. But we monitor it obviously.
Jacob Green: Okay. Great. Thanks. I’ll turn it back.
Desmond Wheatley: Thank you.
Operator: The next question is from Frank Hart with High Capital Funding. Please go ahead.
Frank Hart: Hello, Desmond and congratulations…
Desmond Wheatley: Hi, Frank.
Frank Hart: … on landing that big order finally.
Desmond Wheatley: Thank you.
Frank Hart: I have two quick questions for you in that regard. One, are you prepared for the avalanche of orders that you’re clearly going to get over the next year as a result of all of the mega trends and things that are going on and your being ready for it. Can your production facilities and financial capability handle it in your current facility?
Desmond Wheatley: That’s just a good question, Frank, and in a way I could say, I have been preparing this 10 -- we are preparing for this for 10 years. What I’ll tell you is we have a facility, which has room for 20x growth. We can get to about 2,200 units a year of our factoring facility moving from one shift five days a week which is where we currently are to three shifts, seven days a week one of them potentially dark or partially dark with automation. We are also in the process now of identifying sub-assemblies and components, which we can start to outsource for contract manufacturing. This will move us away from sort of laborious manufacturing processes that, frankly, we’re not set up to do and move those sorts of processes into highly automated environments and then our people will move from manufacturing to assembly. So single operator who today does one action will in the future opened 50 boxes a day for 50 similar actions. So I think we’re in good shape where that’s concerned. It’s also I never made a secret of the fact that I believe that will have to open a lot more of these even at 2,200 units a year, we’re not going to do anything to scratch the tip of the iceberg of demand, nothing nowhere near it. And so I believe we’ll have to open more of these sorts of factories. Fortunately the footprint is readily available across United States and even globally, and we’ve done the hard work of creating the IP figuring out how to make these things. Scaling this thing up now is going to be a question of cookie cutter and human resources will always be the most challenging aspect of that, but again, fortunately that really intellectually challenging stuff we’ve already done. So this will be a matter of finding good people to do the manufacturing and assembly as we move forward. And then I’ve also got aspirations to move into other markets as well as not just a U.S. opportunity it’s definitely a global opportunity. So you’ll see us certainly unconstrained a lot of time and effort right now looking at Europe, but it’s currently the largest EV market in the world, possible we might see expansion there before we do, so in the United States I don’t know yet, some of this will be driven by demand. And then just answer your question on money. We have more operating capital to be proud at any time in our history. I think anybody would agree we’re very good at managing money and spending it wisely. As I tell everybody, if it doesn’t make the product make the product better or sell the product, we don’t invest in it. That’s our mantra and that’s worked for us so far. So we have plenty of operating capital and no debt at all and that will put us in a position to do what we need to do to scale up. Don’t need to raise money at the moment. But I certainly would if it appeared to make a strategic sense to grow the business to help our existing shareholders.
Frank Hart: None of that is surprising because you’re always ready and ahead of the curve.
Desmond Wheatley: Thank you.
Frank Hart: And as a management CEO and head of your team, which is extraordinary. You are one of the finest CEOs I’ve had the pleasure of running into 40 years. And I can’t… 
Desmond Wheatley: Thank you, Frank. Thank you very much.
Frank Hart: … tell you when I get out of watching you do this all day long every day, but I have one.
Desmond Wheatley: Thank you very much, Frank.
Frank Hart: … which is, well, sure, because it’s true. what’s the story and what is the risk to Beam Global of cash flows or others million mile batteries and what’s going on with that technology worldwide?
Desmond Wheatley: It’s great news for us. It’s great news for us anything at all the increase is the adoption of electric vehicles is great news for us. The key thing to understand about this Frank and everybody else is that it doesn’t matter how much capacity a battery has in it, you still have to put a certain amount of interest in the vehicle to prior the number of miles are going to drive. All electric vehicles get between 3.5 miles and 4 miles, Sudan’s get between 3.5 miles or 4 miles per kilowatt hour inclement environments. And whether or not they have huge and long lasting batteries or smaller batteries it won’t make any difference there fill up to charge the same amount and charging is the business that we are in. We are not in the business of selling batteries into cars or anything else. We are in the business of charging and all of those vehicles will require the same amount of charging regardless of how good their batteries are, so it’s nothing but good news for us.
Frank Hart: Great. Thanks.
Desmond Wheatley: Thank you for your questions.
Frank Hart: Sure.
Operator: The next question is from Vikram Bagri with Needham. Please go ahead.
Vikram Bagri: Good evening, everyone. Desmond I had a couple of quick questions, first off, is there a way to define how large the Jeep Stellantis opportunity, can be longer term where these EV ARCs are initially being placed and I know, I recognize, I’m asking a hard question. But is there any context, you can provide in terms of how many krill heads they plan to place, these EV ARC and we have plans to places EV ARCs in cities as well longer term?
Desmond Wheatley: I think that’s a sort of question that probably would be much easier answered by Stellantis and Electrify America then by me. And the truth is even if I knew I wouldn’t be able to say anything about it. But, look we think it’s an excellent product. We know there are lots and lots of location and it’s not just Jeep, there are lots of other companies making these new vehicles are going to be going off-road and everything else. There are lots and lots of locations around the country where they’re going to need EV charging and where the grid doesn’t exist. So we see all of them as opportunities. I’m not going to speak specifically about what Stellantis might be up to or anybody else for that matter. But I do think it’s pretty obvious, that there’s a huge opportunity here. And don’t forget, we have the only rapidly deployed, totally off bridge, infrastructure solution charges that supports antibodies electric vehicle charger and antibodies electric vehicle charging service. So as I said earlier, our time is all the EV charging companies times together because we support all of the good ones ourselves already and as we see more and more of these companies pushing into places where the grid doesn’t exist. We will definitely be there to support it with our patented products. But I don’t think it’s worth making too much of that, because that will still be an edge case. The simple fact of the matter is Wall Street Journal says they are somewhere between 500 million and 1.2 billion parking spaces in United States, a huge number of them are going to have EV chargers at them and our products are better for even just in a parking lot it turns out not that easy to get power even into our parking lot and so we’re going to be very well positioned for that. We’ll certainly take advantage of all the off-road stuff, but I think it will be a niche. And I definitely don’t want anyone thinking of us as a niche product because that’s not what we are, we are a solution that solves for everybody everywhere that we can see the sky.
Vikram Bagri: Great understood. And as I said I recognize it’s a hard question to answer, and it’s probably a better question for Stellantis and Jeep. But as a follow-up, I think you indicated in your prepared comments that the pipeline of orders remains extremely robust. Despite these large orders moving from pipeline to backlog space, that pipeline has replenished pretty impressively so, two questions on that front. One, it seemed like to replenish that pipeline rapidly, Despite these orders moving from pipeline to backlog there are probably larger orders in that pipeline. So can you comment on how large the on average these new orders are, if the size of orders has increased overtime this year versus last year? And two, you talked about EV Standard being launched at the back half of the year. Is there anything related to EV Standard in that project pipeline and/or in backlog, and if yes, could you talk about the performance of the EV Standard, the pricing on there, the margin expectations on there and how are you thinking about launching that product in back half of the year?
Desmond Wheatley: Okay so the second half of your question for us. There is no EV Standard opportunity in our pipeline at the moment. We’ve always been very conservative about this we build products we get them ready to go before we sell them to people and that’s where we are with EV Standard. So we have not included any EV Standard opportunities in the pipeline at the moment. I still believe that EV Standard could end up being our highest volume sale product, maybe by far. Just because of the nature of it and had the sort of city environment that fits into that curbside charging solution, but as of right now the pipeline doesn’t include that. To the first part of your question I definitely think that we’re seeing and it’s not just me sales team agrees saying that we’re seeing a shift from 1Zs, 2Zs [ph] that we’ve had in the past when people have dip their toe in the bath just to see if the product works and see if they can get an understanding of it. We’re now seeing that shifting away from 1Zs, 2Zs up to, is it 4Zs, 5Zs and then we believe that turns into 10Zs, 15Zs and 20Zs to 30Zs and so on so forth. So there is a general shift and it’s and it’s positive for us in terms of increasing sizes of opportunity is coming.
Vikram Bagri: Great, and thanks Desmond. That’s all I had. I’ll follow up offline for other questions, Thanks again.
Desmond Wheatley: Thank you. Thank you.
Operator: The next question is from Gabe Daoud with Cowen. Please go ahead.
Desmond Wheatley: Hi Gabe.
Gabe Daoud: Hi Desmond, how are you?
Desmond Wheatley: All right.
Gabe Daoud: Maybe just on the, I guess following up on the last question around the pipeline, I think last quarter you had indicated it was I guess $40 million, with a 70% conversion rate and the $9 million in agreements with the 70% to 99% conversion rate. And I’d imagine that maybe what those figures are lower. Now, just given that this quarter you just announced, but is there an update on those two figures.
Desmond Wheatley: Actually just looking at total pipeline and I don’t have it open in front of me at the moment. But looking at total pipeline, I watched total pipeline gather around $49 million for a little while there and then it finally poked its head above $50 million. I now is back down in the sort of $47 million range because of course we’ve added $5 million or so from taking $5 million or so out of pipeline and put it into backlog, but pipeline intends to be an increasingly good story for us and that’s just going along with the general trends that we’re seeing in the industry.
Gabe Daoud: Okay. Okay, great that’s helpful and then I’ll just maybe follow up on the margin side, understand that is production levels scale gross margin will follow. But I’m just curious I guess at what production level do you need to see at your San Diego facility to get to that 50% gross margin. Does the facility have to be completely maxed out at 2200 units or so or just trying to think about the progression there on the gross margin side?
Desmond Wheatley: It certainly does not have to be maxed out no, but the some of the gross profit, Some of that trajectory to that 50% gross profit will come in fact the big chunk of it will after we -- well after we reach a certain volume level. So, to the point where we can actually absorb the fixed overheads and pass that through gross profit to the bottom line a really big piece of this is going to come from reductions in cost of things like batteries and solar modules and other stuff. You follow the industry Gabe you know where this is going. We anticipate a further four or four reduction in our cost of batteries in the future. It’s hard to say exactly when that will take place, but all the industry experts are talking about battery prices coming down into the sort of $100 zone. We’re paying quite a lot more than that right now, but we anticipate taking advantage of those cost savings when they come. So it’s a combination of things. But no, we do not need to be operating at full capacity by any means to get to that that level. There were several we quite straightforward steps that we need to take to reduce our costs. Engineering is working on those at the moment. And then of course volume is a very big piece of it, because the fact it’s great to have a facility that’s capable of 20X growth, but it’s kind of an expensive piece of it overhead that offset people know but everybody will be bloody delighted when we’re using it.
Gabe Daoud: Great, thanks Desmond very helpful.
Desmond Wheatley: Thank you.
Operator: [Operator Instructions] The next question is from Richard Batson, a Private Investor. Please go ahead.
Unidentified Analyst: Hey Desmond.
Desmond Wheatley: Hello Richard.
Unidentified Analyst: Hey, my question is, I know from being for me with your company for a few years there used to be you had to have around $10 million to $11 million in revenues to get to that breakeven of course. And it sounds like you might be profitable this next quarter but has it changed or is it still around that area?
Desmond Wheatley: First of all, we’re not forecasting profitability next quarter. Let me be absolutely clear about that, although of course we continue to work the warrants to do everything we can to execute on that. The number has gone up, Richard and the number has gone up for reasons, which have been very open about over the last several months and quarter. And that’s because we are now investing in lots of things that we think are really important for our growth. For example, government relations as I mentioned in our piece we’ve increased sales headcount, we’ve increased marketing spend. We’ve just brought in to the first time in our history government relations. These are increasing expenses but I’ll tell you what hasn’t changed. Our discipline our own money. We do not invest in anything that we don’t believe is in the best interest of the shareholders and that means driving growth of the company. And so our breakeven number will go up as we make these investments but of course, we believe that the increase in the breakeven number will be far more than overcome by the benefits brought about by making these investments.
Unidentified Analyst: Right, well, hopefully the price of batteries coming down will help offset that as well.
Desmond Wheatley: It’s a definitely will.
Unidentified Analyst: Okay, all right I appreciate it Desmond.
Desmond Wheatley: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Desmond Wheatley, President, CEO and Chairman for any closing remarks.
Desmond Wheatley: Thank you, Bob. Thanks very much for your questions and thank you to everybody for your time and attention. Again appreciate your patience in this week of delay, don’t forget what I started out by saying, there was nothing to be read into that at all and we didn’t change anything in our filings. As a result of the weaker delay and again hats off to Kathy she worked very, very hard, and she produces a really good product. Beyond that, I’m just grateful to have all of you on Board and thank you for your support and I think this is going to be a great year for us and we are really looking forward it. So thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.